Operator: Good morning. My name is Jessica, and I will be your conference operator today. At this time, I’d like to welcome everyone to the Royal Gold Fiscal 2012 Second Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. Karen Gross, you may begin your conference.
Karen Gross: Thank you, operator. Good morning, everyone, and thank you for joining us today. This event is being webcast live. You will be able to access a replay of the call on our website at www.royalgold.com. Participating on the call today are Tony Jensen, President and CEO; Stefan Wenger, CFO and Treasurer; Bill Heissenbuttel, Vice President, Corporate Development; Bill Zisch, Vice President, Operations; Bruce Kirchhoff, Vice President and General Counsel; and Stanley Dempsey, Chairman. After management completes their opening remarks, we’ll open the line for a Q&A session. Before we begin, I want to remind everyone that this discussion falls under the Safe Harbor provision of the Private Securities Litigation Reform Act. A discussion of the company’s current risks and uncertainties is included in the Safe Harbor statement in today’s press release and is presented in greater detail in our filings with the SEC. With that, I’ll turn the call over to Tony.
Tony Jensen: Good morning and thank you for joining us today. We had a very busy and successful quarter, and I wanted to take some time to highlight those and particularly to highlight some of the management teams. So today, I’d like ask Stefan Wenger and Bill Heissenbuttel and Bill Zisch all to have a part in the call this morning. But before I turn the call over to Stefan, I would like to provide some introductory comments about the quarter. Today, Royal Gold reported record quarterly revenue of $69 million, a 22% increase, and net income, also a record, rose 28% to $23 million or $0.42 per share. Operating cash flow totaled $29 million, up 8% from the comparable year-over-year period. And looking at our first half performance, Royal Gold achieved record finance results in revenue, net income and operating cash flow. Six-month royalty revenue was $133 million. Operating cash flow was $75 million, and net income was $46 million or $0.83 per basic share. In reviewing the composition of our quarterly revenue, Andacollo was again our largest revenue source, contributing approximately $16 million. Voisey’s Bay reported strong production and associated revenue for the quarter, contributing approximately $12 million, while Peñasquito added just over $6 million. Total revenue from these three producing cornerstone properties was approximately half of our revenue for the quarter. Holt was our next biggest contributor, adding over $4 million in revenue. Compared to the September 2011 quarter, we saw volume expansion within the portfolio at Peñasquito, Voisey’s Bay, Holt, Mulatos, Dolores and Las Cruces. This increased production more than offset lower silver and copper prices, a flat gold price and lower production at Cortez and Robinson. Our percentage of revenue from precious metals was 72%. Now I’d like to briefly talk about our current financial status. As you know, we have been very busy during the December quarter with acquisitions involving Mt. Milligan and Tulsequah Chief projects, both in British Columbia. Combined, we committed $330 million to these transactions subject to certain conditions. In early December, we drew down an additional $100 million on a revolver to fund the Mt. Milligan II transaction. And to restructure our balance sheet and position the company for additional opportunities, we sold 4 million shares of common stock in January, resulting in proceeds of approximately $268 million. Now I’d like to turn the call over to Stefan Wenger, our Chief Financial Officer, to give you a bit more detail on DD&A and tax expense during the quarter as well as some of the financial activities after quarter end. Stefan?
Stefan Wenger: Thank you, Tony, and good morning, everyone. DD&A for the second quarter was $21.4 million compared to $16 million for the comparable quarter of fiscal 2011. The increase was due to higher production at the Andacollo, Voisey’s Bay as well as the new production from Canadian Malartic and Holt. DD&A for the quarter was $525 per gold equivalent ounce compared with $388 per ounce in the prior year. This increase per gold equivalent ounce is attributable to higher revenue from Voisey’s Bay and a corresponding decrease in revenue from Cortez or Voisey’s Bay has a higher cost per ounce versus Cortez, which has a very low cost per ounce. For fiscal 2012 as a whole, we expect our DD&A rate per gold equivalent ounce to be in a range of $450 to $500. Moving on to taxes, income tax expense increased to $14.1 million or 36.7% for the quarter compared with $11.4 million or 35.4% in the prior year period. The increase in our effective tax rate was a result of an increase in tax expense on foreign earnings. For the six-month period, our effective tax rate was 34.4% compared with 35.2% for the comparable period in fiscal 2011. For fiscal 2012, we expect our effective tax rate to be at or slightly higher than 35%. As of December 31, we had $170 million outstanding under our revolving credit facility and about $118 million outstanding under our term loan for total debt of approximately $288 million. After the end of the quarter, we paid the debt outstanding on the revolving credit facility. Adjusted for the offering and the repayment of the debt, our December 31 cash balance would have been $194 million. And when coupled with our now undrawn credit facility of $225 million, our current liquidity is over $400 million. Our term loan of $118 million remains in place, and we continue to view this as an attractive low cost component of our capital structure. Our new capital coupled with our strong and growing cash flows and the undrawn credit line gives us additional flexibility as we consider our financial needs going forward. Now to add more detail of our recent development activities, Bill Heissenbuttel, our Vice President of Corporate Development, will give you an overview of these transactions. Bill?
Bill Heissenbuttel: Thank you, Stefan. I’ll start with Mt. Milligan, a long lived copper gold project located in British Columbia. In December, we acquired an additional 15% of the payable gold to be produced from this project for $270 million and cash payments equal to the lesser of $435 per ounce or the prevailing market price for each payable ounce of gold delivered to us. Combined with our original transaction, this gives us the right to purchase 40% of the payable gold for total consideration of $581.5 million and the ongoing $435 per ounce payment. Today, we’ve paid approximately $365 million to Thompson Creek with the remaining $217 million to be paid in scheduled quarterly payments starting on March 1 of this quarter. We’ll make four payments of $45 million in calendar 2012, payments of $12 million in the first two quarters of calendar 2013 and the remainder will be paid in the third quarter of calendar 2013. We’re very pleased about increasing our investment at Mt. Milligan and assisting Thompson Creek with its construction financing needs. In terms of the actual project itself, construction continued during the quarter. And the overall project remains on schedule for completion in the fourth quarter of calendar of 2013. As of the end of December, engineering was 85% complete and construction had progressed to 31%. 50% of the major concrete pores are complete. Construction of the concentrator has commenced with 80% of the steel at site and the power line at the site is complete. Spending as of September 30, 2011, totaled CAD383 million with another CAD336 million committed. Once in production, the mine is projected to produce 194,000 ounces of gold per year on average over a 22-year mine life. Our other transaction during the quarter was the Tulsequah Chief project, a high grade polymetallic deposit located in Northwestern British Columbia, approximately 40 miles Southeast of Juneau, Alaska. This transaction was attractive to us given the deposit grades, the precious metal focused streams, the stable political jurisdiction and the potential exploration upside. We agreed to acquire 12.5% of the payable gold and 22.5% of the payable silver from Chieftain Metals. Consideration for the transaction will be $60 million in total. And when production is reached, Royal Gold will make cash payments equal to $450 per payable ounce of gold until 48,000 ounces have been delivered to us and $500 per ounce thereafter. With respect to silver, cash payments of $5 per payable ounce of silver delivered until about 2.8 million ounces have been delivered to us and $7.50 per ounce thereafter. Once 48,000 ounces of payable gold and about 2.8 million ounces of payable silver have been delivered to us, our interest will convert to 7.5% and 9.75% of the payable gold and silver, respectively, for the remainder of the mine life. As mentioned, the upfront consideration is $60 million consisting of an initial $10 million payment, which was made after the transaction closed and the remaining $50 million to be paid over the project’s development period. These payments are conditioned on, among other things, the securing of sufficient financing and permitting for the project. We also received the right of first refusal on any future gold or silver production-based interest. The Chieftain is in the process of completing a feasibility study following a June 2011 preliminary economic assessment and anticipates that the project will be operational in 2015. VMS deposits like Tulsequah Chief were typically lower tonnage and higher grade in nature. Chieftain has reported mineralization consisting of indicated resources totaling 6 million tons creating 1.42% copper, 1.23% lead, 6.44% zinc, 2.63 grams per ton gold and 96 grams per ton silver. However, I’d like to remind you that our transaction applies only to gold and silver production. In addition to zinc, copper and lead, Chieftain estimates the average annual precious metal production to be 45,000 ounces of gold and 1.4 million ounces of silver over an initial nine-year mine life. Now I’ll turn the call over to Bill Zisch for an overview of our operations.
Bill Zisch: Thank you, Bill, and good morning, everyone. Our portfolio of producing assets performed well this quarter. Compared with the prior quarter, we had a 9% increase in royalty gold equivalent ounces resulting in record production. Our explanation of performance this quarter is straightforward with most operations delivering as expected, several significant positive contributions and only a few shortfalls when compared to the prior quarter. Production from operations in Mexico exceeded the prior quarter as cyanide concentrations recovered to plan levels allowing for strong fourth quarter performance. Mulatos recaptured prior quarter shortfalls as output increased by 46%. Crusher throughput during the fourth quarter averaged a record a 16,000 tons of ore per day. Ore that had been modeled as waste was encountered while developing the Escondida zone. And the zone’s average grade during the quarter exceeded the average grade mining during the year. Cyanide concentration levels returned to normal allowing production to improve. Alamos is forecasting 2012 production at between 200,000 ounces and 220,000 ounces of gold. Included in this total is about 57,000 ounces of additional production from the new gravity mill. Dolores also deferred production as the quarter’s total increased by 21%. Repairs of a crushed collection pipe on the west pad and the irrigation of pressure on the east pad provided for their positive results. Production from our AuRico’s El Chanate mine was 5% above the prior quarter. First phase of a five-phase expansion program was completed during the quarter. The second phase of the program has a design stacking and crushing rate of 21,000 tons per day. It is expected to be operational in the first quarter of this year. AuRico has provided production guidance in the range of 78,000 ounces to 88,000 ounces of gold for 2012. At Peñasquito, quarterly production increased by 14% as both 50,000 ton per day SAG lines routinely ran at capacity. During December, throughput reached an average of 107,000 tons per day and obtaining new one-day record of 140,000 tons. According to Goldcorp, the supplemental ore feed system to supply pebble feed to the 30,000 ton per day, high-pressure grinding roll circuit is expected to be completed shortly and hauling of material to the tailings dam wall is now complete. Goldcorp has reiterated its expectation that Peñasquito will establish steady state throughput at the designed capacity of 130,000 tons per day by the end of the first quarter of 2012. Mining in the heart of the sulfide ore body will provide higher grades in 2012. Coupled with increased throughput rates, Goldcorp expects 2012 production of 425,000 ounces of gold, an increase of almost 70% from 2011 levels. Silver production is expected to be 26 million ounces. In Canada St Andrew Goldfields Holt mine continue to realize the benefits of their mine development program. Access to higher grade material and increased throughput resulted in a 20% increase in gold sales versus the prior quarter. The head grid realized out of zone four it was higher than the reserved grade and recoveries were at the expected level of 94%. St Andrew anticipates reaching full mine capacity of 1,000 tons per day during this first calendar quarter of 2012. They estimate 2012 production are between 90,000 ounces and 100,000 ounces of gold, of which approximately 50% is expected to come from the Holt mine. Yukon Zinc’s Wolverine mine continued progress towards its goal of 1,700 tons per day. Concentrated shipments exceeded the prior quarter by a significant amount primarily due to a variable shipping schedule during this initial ramp up period. The steady-state operating property that exceeded the prior quarter by the largest amount was Vale’s Voisey’s Bay. This has typically been a strong quarter for sales from the mine as concentrate shipments are completed before December 7, which is the start of a two-month restriction on shipments. Significant copper concentrate shipments during the December quarter along with strong nickel sales allowed Voisey to exceed its prior quarter sales attributable to our account by about 75%, contributing to almost half of our overall portfolio’s positive increase from the prior quarter. Production from other key assets like Leeville, Las Cruces, Goldstrike (inaudible) all exceeded the prior quarter. In particular, at Inmet’s Las Cruces mine, full year production in 2011 was more than twice the 2010 level ending the year at 42,000 tons of copper cathode. And then three months ended December 2011, Las Cruces produced 14,000 tons of copper cathode and sustained recoveries above 88% at throughput levels approaching design capacity. For 2012, Inmet had set their production objective at a range of between 62,000 tons and 69,000 tons of copper cathode, which is about 90% of designed capacity. Andacollo was within 1% of their prior quarter levels as production stabilized with the temporary addition of a small jar crusher, increased power to the SAG mill and a few other modifications to the circuit. These modifications have allowed them to maintain production at about 40,000 tons per day. Meanwhile, they continued the installation of 20,000 ton per day crushing plant that should be in production in the second calendar quarter of this year. They also continue to finalize an expansion feasibility study, which is expected to be completed in the near future. At Canadian Malartic, Osisko continues progress to install two cone crushers that will allow them to achieve an overall mill throughput of 55,000 tons to 60,000 tons per day. Commissioning of the first of these two crushers is still anticipated during this first calendar quarter. Osisko anticipates achievement of full ramp up to 55,000 tons per day in the second quarter of 2012. With the second crusher scheduled to arrive in the early part of the second quarter of this year, Osisko anticipates increasing throughput to 60,000 tons per day in the third quarter. Osisko has provided guidance that 2012 production will be between 610,000 and 670,000 ounces. Not all of these ounces are attributable to our royalty interest. In Nevada, production from Barrick’s Cortez and Bald mountain operations was below the prior quarter’s level because of plan that changes in the sequencing of ore resources. At Cortez, Barrick continues to prioritize production from their higher grade Cortez hills operation that is not covered by our royalty interest. Production from our royalty interest at the pipeline complex during this calendar year will be derived from oxide heaps and shipping of the previously stockpiled refractory ore that is periodically shipped to the Goldstrike mine for processing. As a result, we will continue to see variability in production from Cortez until they return to steady-state mining at the pipeline complex. At Robinson, Quadra reported that December copper production performance was impacted by planned and unplanned mill maintenance issues and that a localized pit wall failure resulted in delay in access to high grade ore at the bottom of the roof pit. The operating flexibility continue to be the key to Robinson production. Recent mine operating improvements resulted in a 40% increase in total tons mined. During the quarter Robinson delivered record ex-pit mining and continuing great improvement as mining transition to the higher grade benches at the bottom of the roof pit. Royalty production was about 30% below the prior quarter. With regard to a couple of our development properties, Bill Heissenbuttel has already given you an update on the Mt. Milligan project, so I’ll move on to Pascua-Lama. At Pascua-Lama, Barrick continues to report that initial production is expected in mid-2013. Approximately 55% of the projected capital has been committed today. In Nevada, Kinross’ progressed construction of the Gold Hill project where we hold a 2% sliding-scale royalty at current gold prices. We anticipate production to commence in the third quarter of this year. The project has a reserve of 365,000 gold ounces with a planned mine life of four years. With that, I’ll the turn the call back over to Tony.
Tony Jensen: Thank you for the update, gentlemen. In summary, this was another quarter of solid operational performance and a period of important business development activity. We look forward to substantial, long-term revenue from our interest at Mt. Milligan and are pleased to have added another precious metal interest to our development portfolio with the Tulsequah Chief project. In the second half of fiscal 2012, we expect to see continued production expansion at Andacollo, Peñasquito, Canadian Malartic, Holt, Wolverine, Mulatos and Las Cruces as these projects work towards achieving design capacity. And with a restructured balance sheet and a strong cash flow, we believe Royal Gold is well positioned to continue executing on our business strategy. With that, operator, that concludes our remarks. We’ll be happy to entertain any questions if there were some.
Operator: (Operator Instructions) Your first question comes from the line of Lawson Winter with Bank of America Merrill Lynch. Your line is open.
Lawson Winter – Bank of America Merrill Lynch: Hello.
Tony Jensen – Royal Gold: Hello, Lawson.
Lawson Winter – Bank of America Merrill Lynch: Just a question, we’ve seen with prior gold and silver streaming transactions where the operator pays the taxes for the streaming company, so with respect to Mt. Milligan gold stream where you guys are buying 40% and paying $435 an ounce, who in that situation will be paying the difference or the variance between the $435 and spot gold, is it Royal Gold or Thomson Creek?
Tony Jensen – Royal Gold: Yeah. There’s about three of us that could answer this question. But I think I’ll turn it to Stefan. Could you explain to Lawson?
Stefan Wenger – Royal Gold: Sure. The way the taxes work there, we put a deposit upfront on the property and during the period where we’re paying $435 an ounce, we’ll also be amortizing that deposits or actually during the first – say, the first half of the mine’s life while that deposit is being amortized, we won’t be paying. We’ll be amortizing that whole value of deferred market value and therefore paying no taxes. At the same time, the operator would be getting a deduction for that piece of the deposit. At some point, that flips and we’ll be paying taxes on the difference between the $435 and fair market value as we go forward.
Lawson Winter – Bank of America Merrill Lynch: Okay, so when Mt. Milligan first starts up or assuming it was to be running today, what would that do to your tax rate? Would that then decline slightly?
Stefan Wenger – Royal Gold: Yeah, with respect to Royal Gold, there are several factors considered – including our structure and we’ve done this Mt. Milligan transaction and the Tulsequah transaction through a foreign Swiss tax structure. To answer your question, when Mt. Milligan comes into production, you’ll see our overall effective tax rate decline for Royal Gold.
Lawson Winter – Bank of America Merrill Lynch: Okay. And then just one final question, could you repeat please what the DD&A guidance was for 2012?
Stefan Wenger – Royal Gold: The DD&A guidance looking forward for 2012 is between $450 and $500 on a gold equivalent ounce basis.
Lawson Winter – Bank of America Merrill Lynch: So for the remaining two quarters?
Stefan Wenger – Royal Gold: Yes. And I say that taken for the whole year as a whole.
Lawson Winter – Bank of America Merrill Lynch: Okay, got you.
Stefan Wenger – Royal Gold: So during the first quarter it was – so we’re just less than $500, second quarter it was $525. I expect as we see higher contribution from Peñasquito and perhaps less of a contribution on a relative basis from Voisey’s Bay in the second half, you’ll see that rate come back down.
Lawson Winter – Bank of America Merrill Lynch: And then average $400 to $450 per VEO for the whole year?
Stefan Wenger – Royal Gold: Yeah, for the full year, $450 to $500. My original guidance was $400 to $450 and because of the stronger relative contribution from Voisey’s Bay, we’re revising that to $450 to $500.
Lawson Winter – Bank of America Merrill Lynch: Great, thank you.
Stefan Wenger – Royal Gold: Thank you.
Operator: (Operator Instructions) Your next question comes from the line of Andy Schopick, a private investor. Your line is open.
Andy Schopick – Nutmeg Securities: Thank you and good morning. Just want to be sure, the pending deal between Pan American and Minefinders, that will be – that will not have any impact on your current royalty arrangement with the Dolores mine, will it?
Stefan Wenger – Royal Gold: No, we don’t have any anticipation of any impact. The rights will continue to burden the property just as they do now, Andy.
Andy Schopick – Nutmeg Securities: Okay. And lastly, I just like to ask a question about the other non-principal producing properties, that’s a group that comprises a material amount of current revenue, are you anticipating any change – any material changes in the balance of this fiscal year in terms of contributions from any of those properties?
Tony Jensen – Royal Gold: Well, there is a number of assets in the non-principal producing properties, and they move up and down all the time. I don’t think, to answer your question directly on a comprehensive basis, I don’t think there is going to be any significant movements in there that would – we would call out and advise that they have a significant impact on our overall financials.
Andy Schopick – Nutmeg Securities: Okay, thank you.
Tony Jensen – Royal Gold: Thanks, Andy.
Operator: We have no further questions at this time. I’ll turn the call back over to the presenters.
Tony Jensen: Well, thank you very much for joining us today. We appreciate as always your continued interest in Royal Gold. And we look forward to keeping you informed on our next conference call if not sooner. Thanks again.
Operator: This concludes today’s conference call. You may now disconnect.